Operator: Good day and welcome to the Reinsurance Group of America first quarter conference call. At this time I would like to introduce the President and Chief Executive Officer, Mr. Greig Woodring and Senior Executive Vice President and Chief Financial Officer, Mr. Jack Lay. Please go ahead Mr. Lay.
Jack Lay: Good morning and welcome RGA’s first quarter 2008 conference call. I’ll turn the call over to Greig Woodring our CEO in just a minute. David Atkinson our Chief Operating Officer is also with us this morning. We’re sorry for the short notice on this call. We accelerated the schedule for releasing our results since we experienced unusually high claims flow for the quarter and wanted to get those results out. Greig will comment on those results shortly and then we will respond to any questions from the participants. As a reminder during this call we plan to make certain statements and discuss certain subjects that will contain forward-looking information including among others statements related to projections of revenue or earnings and future financial performance and growth potential of RGA and its subsidiaries. You are cautioned that actual results could differ materially from expected results. A list of important factors that could cause actual results to differ from expected results is included in the earnings release issued yesterday. In addition during the course of the call we will make comments about our results based upon operating income on both a pre-tax and after-tax basis. Under SEC regulations operating income is considered a non-GAAP financial measure. We believe this measure better reflects the ongoing profitability and underlying trends for our continuing operations. Please refer to the tables in our press release for more information on this measure and reconciliations of operating income to net income for our various operating segments. With that I’ll turn it over to Greig for his comments on the first quarter.
Greig Woodring: Good morning and thanks for joining the call. I appreciate your adjusting your schedule to participate this morning on short notice. As indicated in yesterday’s release our first quarter results were significantly affected by high claims level in the US, South Africa and the UK. As usually I’ll go through all the results and as part of that discussion we’ll elaborate on the claims experienced by operating segment. First of all on a consolidated basis net premiums increased 15% over the prior year. Foreign currency exchange helped to a tune of about 4% led by very strong Canadian dollar in particular. The first quarter level of operating earnings is about 75% of the expected level of earnings. Operating earnings per share totaled $1.10 per diluted share compared to $1.28 last year. Operating earnings totaled $71 million, down from $82.1 million last year. Reported net income for the quarter totaled $31.5 million or $0.49 per share compared to $76.3 million or f$1.19 per diluted share last year. Net income in the current quarter was approximately $29 million in unrealized losses after DAC and after tax due to the decline in imbedded derivatives primarily associated with our equity index, the new funds withheld treaties. That loss primarily is a result of the impact of wider credit spreads on the underlying investments held in the ceding company’s books and the decrease in the risk free rates used in discounting embedded derivatives for equity indexed annuities. These are non-cash unrealized losses that do not affect treaty flows, cash flows or profit spread performance and we expect to reverse over time and as a result we don’t include the unrealized affects in operating income. Additionally we recognize $5.2 million pre-tax and realized losses associated with other than temporary impairments on investment securities. Overall our investment portfolio continues to hold up well in the current environment. Our subprime exposure remains modest at $255 million with over 77% in the AAA and AA categories. All of these holdings are investment grade. Net income for the quarter also includes about a $5.1 million loss associated with our discontinued accident and health business. The good news here is that we settled the remaining largest disputed claim situation during the quarter. We’re now faced with no arbitrations or claims disputes for the first time in years. Turning to our operating segments, first in the US, pre-tax operating income totaled $64.4 million compared to $93.5 million last year. We did experience high claims flow in terms of the number of claims as well as the volume of large claims; so its both severity and frequency here. The large claims were approximately $35 million higher than we would normally expect in the quarter and the frequency of smaller claims was about $15 million adverse so in other words about 70% severity 30% frequency I guess you’d call it. Based on our analysis of the current quarter claims we don’t believe there’s any long-term trend or that we have any pricing issues whatsoever. When something like this happens we analyze claims experience based on many attributes including underwriting [error], risk class, client faculty [versus automatic] and gender mix. The mix of claims in the first quarter is consistent with prior periods implying no obvious weakness in any particular segment. We conclude we are seeing random volatility rather than a systemic problem. Our experience shows that mortality trends do not fundamentally change in a quarter however quarterly volatility is a reality. For example we experienced similar poor experience in the second quarter of 2005 which was then followed by ten quarters of expected or more often better than expected mortality experience. Also you will recall that the US recently reported very favorable claims experience in the fourth quarter of 2007 on the same block of business. Even with our large spread of risk we expect we will continue to see some quarterly volatility but this does not change our long-term profit expectations. Premiums for the quarter were up 8%, it’s about what we expected on a full-year basis. Our asset intensive business contributed $5.5 million in pre-tax operating earnings, up from $4.5 million last year. Turning to Canada, the Canadian operation continued its string of strong quarters helped by a strong Canadian dollar. Pre-tax operating income more than doubled to $28.2 million from $12.5 million. Currency translation helped the current quarter by about $4.7 million. Mortality experience was favorable. Premiums increased 40% measured in US dollars and 20% in Canadian dollars and those rates are substantially ahead of our full year growth expectation. That operation continues to perform very well. We were the leading reinsurer of individual business in Canada in 2007 based on the recently released Society of Actual [inaudible]. Regarding our international operations, Asia Pacific reported a good quarter with pre-tax operating income of $18 million compared with typically $4 million last year. Segment wide mortality was slightly favorable. Good results coming in from Japan, Australia, and New Zealand. Premiums increased 29% as reported, 17% on an original currency basis. Australia, Japan and South Korea continue to be our key markets in this region producing over 80% of the premiums for the segment. Our other international operation, Europe and South Africa, had a more difficult quarter, pre-tax operating income totaled $5.3 million compared to $21.3 million last year which if you recall was a very strong quarter for them. Claims flow from the UK and South Africa was higher than expected. This block of business is still relatively, relatively new and concentrated in large treaties. Particularly in the UK some fluctuations like this are not totally unexpected. The prior year quarter reflected very favorable mortality experience on these blocks and when evaluated on an inception to date business a basis to business is performing within our pricing expectations. Net premiums increased 13% on a US dollar basis and 10% in original currency. So in conclusion the quarter’s results were disappointing however our long-term performance expectation and fundamentals are unchanged. We’ll continue to monitor claims trends. The pricing environment in the North American market remains stable. We continue to be a recognized leader in that market for life reinsurance based on several independent industry wide client surveys. Recent [inaudible] actuary survey confirmed our expectation that overall reinsured amounts are down however RGA was once again the leader in the North American market for new business reinsured. We once again increased our overall market share. Our international operations continue to grow substantially and in fact more of our new business now comes from outside of North America – outside of the US than inside of the US. They provide meaningful profits internationally and continue to be an engine for our growth in the future. We appreciate your support and interest in RGA and are now ready to take any questions you may have.
Operator: Your first question comes from the line of Jimmy Bhullar – JP Morgan
Jimmy Bhullar – JP Morgan: I just have a few questions, the first one is on your guidance, you had given guidance for 2008 earnings I think $6.50 previously and there wasn’t a number this time and you didn’t mention one on your call, so if you could address your earnings expectations for the rest of the year. The second one is on David Atkinson’s announcement was this planned in advance, if you can just give us some comfort that the earnings release and David’s announcement are not related. And then finally if you could talk about a little bit more detail on the negative mortality this quarter. Was this more of a number of claims issue or you just had more high ticket claims or just give us some more color on what really happened.
Greig Woodring: Okay, we don’t like to get in the habit of really doing quarterly updates of our guidance. Clearly we’re in the hole. Will we hit in that $6.00 to $6.50 range? There is a possibility we will. We’re not ruling that out. We would need to have some good experience the rest of the way. But clearly these things tend to smooth out and usually they smooth out relatively quickly when we have a down quarter like this. That’s been our past experience but that’s not any knowledge about what’s really going to happen this year but our earnings power as imbedded in the book of business is still on a 12-month forward-looking basis – it’s something like $6.00 to $6.50 and we would stand by that from this point forward. But clearly we have to recover about thirty-something cents with better than expected experience to make that up in the current given year. David’s retirement is something that we’ve been working on for a year and I should probably let him talk about it since he is here today but he’s not completely leaving the company. He’ll still do some work for us and we expect to see him contribute to RGA over the future years although he is relinquishing a lot of his management responsibilities because of the change in status.
David Atkinson: Yes, this is something I’ve been working with Greig on for a couple of years really and probably about a year ago we reached a meeting of the minds and so it has nothing to do with this quarter.
Greig Woodring: In terms of the claims, I was trying to give you earlier Jimmy a little flavor for the severity and frequency. We did have a lot of large claims and that’s usually the case when we have a bad quarter. The number of large claims, that is $1 million and over is 300 and something in the quarter and the total number of claims – and I’m just talking about the US now, was about 12,000. So that 12,000 is a little bit higher than we would have expected and that probably contributed about 30% of the excess and the 300 and something volume of those claims contributed about 70% to the overage. So you could sort of say that it’s a 70% severity and 30% frequency phenomenon for this particular quarter.
Jimmy Bhullar – JP Morgan: Thank you.
Operator: Your next question comes from the line of Nigel Dally – Morgan Stanley
Nigel Dally – Morgan Stanley: First on the UK operations, they’ve been disappointing for several quarters in a row, it seems like the statistical probability of having several quarters in a row of adverse mortality is pretty low, so what gives you confidence that the results don’t include some underwriting issues as well? Second on the adverse mortality are delays in receiving claims from the primary insurers also a factor and any ways that you cost that far into the second quarter?
Greig Woodring: I’ll take the second one first; there was no change in the reporting for claims. In other words we had a good fourth quarter. It wasn’t that people didn’t send us claims in the fourth quarter that should have come in the first quarter to any great extent. When we look at the time period of when we got the claims reported compared to the date of death, it’s virtually identical so there’s really no effect on reporting. In terms of the UK I’ll remind you that if you take a look at Canada in 2006 they had four quarters in a row of worse than expected mortality and since that time has had five not only good quarters, but very good quarters. So these things do happen in streaks. If we look at our UK experience we had two very good quarters in the first half of last year and then two worse than expected quarters in the last half of last year and the first one this year so that makes sort of three quarters in a row. This particular quarter was a little bit better in my opinion than the prior one was. But that’s neither here nor there in some ways. We look at the experience on an inception to date basis for all the business in the UK and the total claims and benefits are pretty much right on our pricing levels. Its pretty much right at 100% give or take one at any given time. So we’re pretty much right on. We don’t see any reason at this point to readjust pricing or underwriting guidelines although we continue to look at it. Obviously it’s a newer block of business in the UK and we continue to do a lot of analysis on trends and try to get our hands around what we can expect for the future. But we’re not really thinking that there’s anything other than a bad string right now.
Nigel Dally – Morgan Stanley: Okay and then any read into what you’ve seen thus far this quarter?
Greig Woodring: In terms of the first part of the second quarter? Yes so far so good. I mean don’t read anything into that in terms of how the quarter is going to end up. We’re still pretty early days but both the US and the UK seem to be fine for the quarter to date.
Nigel Dally – Morgan Stanley: Okay thanks a lot.
Operator: Your next question comes from the line of Andrew Kligerman - UBS
Andrew Kligerman – UBS: Three questions, first could you give us the math around the reporting for that derivative loss of $32.6 million where you had the modified co-insurance and the funds withheld treaties structures. Could you just tell us how that was accounted for on each side of the balance sheet? And were there any variable annuity products involved?
Jack Lay: The accounting gets pretty involved but in terms of our embedded derivatives the lion share of what’s going through the P&L relates to treaty structure issues. That is treaties that are structured on a mod-co basis rather than an on a co-insurance basis. So that’s what gives rise to the embedded derivative. There’s also some – a portfolio of equity indexed annuities that likewise when we value any imbedded derivative give rise to some P&L impacts so on a – I guess fortunately all of this noise so to speak, goes through the asset intensive line and if you take a lot at that reconciliation that’s in the middle of the press release you’ll see that’s it roughly $75 million pre-tax in terms of net downward pressure or expense associated with the valuation of those embedded derivatives. Unfortunately they affect a number of lines on the P&L. They affect the more obvious one is the investment related gains and losses where you see about $155 million or so loss – about $148 million of that gross relates to embedded derivatives. But other lines are affected as well and it gets difficult in a call like this to dissect it completely but interest credited is affected, I mentioned investment related gains and losses, also the DAC line.
Andrew Kligerman – UBS: Is there any offsetting liability item that might wash it on an economic basis or is this an economic loss in your view?
Jack Lay: There is an offsetting loss and you’ll see it, what we refer to as a DAC offset in the P&L but that mitigates a great deal. I mentioned $148 million of costs associated with the reevaluation of the – change in the value of the embedded derivative. Most of that is washed so to speak in the DAC offset. So when you combine it all that’s a tax, its about $29 million or $30 million despite the larger gross numbers. And as Greig had commented earlier we expect all of that to reverse over time, those are unrealized losses that through anomalies and financial reporting we run through the P&L if those were co-insurance treaties we’d be running those through a FAS 115 adjustment.
Greig Woodring: The same treaty on a co-insured basis would not have these effects. Unfortunately these changes in reporting came after these treaties were already in place.
David Atkinson: For those of you who are not experts on reinsurance when we talk about co-insurance or mod-co the difference is mod-co assets are held on our clients’ books, co-insurance assets are held on our books and either case we have the same exact risk and that difference though in where the assets are held drives different accounting which is hard to understand sometimes.
Jack: It makes a lot of temporary noise, and big noise in this case.
Lay: It makes a lot of temporary noise, and big noise in this case.
Andrew Kligerman – UBS: I’m sorry to follow-up again with David, David just maybe a little further clarity, the reinsurance market seemed very strong, the environment is – why the interest in moving on at this point if you don’t mind?
David Atkinson: To be forthright I’m buying a sail boat and I want to have some time to spend on it so responsibilities that tie me down to the office 12 months out of the year is counter to that.
Andrew Kligerman – UBS: And just lastly on that analysis that you did with risk class, gender et cetera, I think that Greig that you were implying that the losses kind of fell within the normal classes that you’d expect. But why would that give you comfort in your pricing? Is it possible that you may have mispriced this business given the higher severity in mortality? Why does that analysis give you comfort?
Greig Woodring: Well for example if you try to pick what’s a worst sell, there’s always a worst sell. I mean if you have claims you always have a worst sell by definition and in particular say the worst sell this time looks like policies issued 11 to 20 years ago. While those same policies if you look over not just this quarter, but say the last eight quarters, are performing better than expected. So -- including the current quarter. So take that last two year’s worth of experience and its fine. So we don’t really expect that mortality is going to be well behaved all the time. It will be volatile. It will go up and down. We don’t normally see much correlation between population mortality and [inaudible] mortality simply because population mortality is a lot of – is affected a lot by very old people and it doesn’t always have the same impact to us. But in this case there was a surge in 41 to 60 year old claims in the – or deaths in the US population in this quarter and we had a little bit of a bump there as well. So you can pick yourselves and say yes there are worse sells, but every quarter you’re going to have a different sell appearing in the worse category so it doesn’t really tell you much to just look at those in a very isolated short period of time. If you look at it over a longer period of time you’d develop a level of comfort that we have in this block of business.
Jack Lay: Maybe another way to look at it is we go through a lot of analysis to try to determine if there is a particular cohort or a particular client or anything like that that is generating a significant amount of unexpected losses and if you go through various analysis and you don’t confine the losses to one or two particular categories then by default you’re concluding that this is normal to the extent that any volatility is normal, that it’s normal volatility, because you can’t identify anything other than that sort of an aspect. So that’s kind of the output of all the analysis. We take a look to try to confine the losses to a particular reason and if you don’t come up with something that implies you’ve got a pricing issue then it’s considered to be normal volatility.
Andrew Kligerman – UBS: And then just for that first question variable annuity reinsurance, no impact there?
Greig Woodring: Yes, not in the fee 36 adjustments. We have done some variable annuity co-insurance since last year sometime, a little before that perhaps. We made money on that in the course of the first quarter. Not as much money as we would have liked but it was performing reasonably well.
Andrew Kligerman – UBS: Thank you.
Operator: Your next question comes from the line of Unidentified Analyst
Unidentified Analyst: I had a couple of quick questions, we had this winter probably the worst flu season in the last five or six years, I’m curious if you saw that to have a specific impact on the results this quarter?
Greig Woodring: We actually don’t get cause of death rolled up as quickly. People send in death claims with just a notification that so-and-so had died and it’s usually a couple of months later that we can start rolling in cause of death information. So we really don’t have that. Based on what I know about where the patterns of claim spikes in the quarter I would tend to doubt it that that was a major affect for us this quarter but I can’t say yet.
Unidentified Analyst: Okay as you’ve said you’ve had 10 quarters since – its been 10 quarters since the last mortality spike, I’m assuming that its both the size of RGA within particularly countries and the addition of new regions over time happens that that 10 quarters period of good results – we certainly can’t promise that but I assume that the likelihood of mortality spikes lessens over time as you continue to grow. Is that a fair assessment or am I being overly optimistic?
Greig Woodring: Well as you get bigger it does get more stable as a business ages it gets a little bit more stable. However we keep – the amount of large cases or the average policy size continues to expand so the number of large cases compared to the overall base of smaller claims is another ingredient to throw in there. I’m not sure that we should say that things will dampen over time to any great extent. We will still have these kinds of quarters happening from time to time.
David Atkinson: If you do the mathematics you’ll see that our standard deviation as a percentage of claims do shrink as we grow but the absolute variations actually grow.
Unidentified Analyst: Okay so the law of large numbers does help you but you are increasing the size of large policies and as you say as you’re growing you will over a period of time have a larger bunch of new business on the books as well.
Greig Woodring: Right.
Unidentified Analyst: Great thanks a lot.
Operator: Your next question comes from the line of Daniel Baransky – Fox-Pitt Kelton
Daniel Baransky – Fox-Pitt Kelton: I had a few quick questions, mostly on the book of business. One the gross written in the US was down year-over-year sequentially I wonder if you could provide any details around what was going on there this quarter?
Greig Woodring: I think the amount that we wrote in the quarter was pretty much what we had expected. The reporting in any given quarter can be a little bit of a factor here because companies sometimes will bunch up several months. You might get four months or five months reporting or even six or seven months sometimes reporting in a given quarter from a given treaty and other times you might get less obviously. I think again you need to sort of see how that pipeline works out. We feel that our run rate is in the $140 billion a year range which the last couple of years we’ve issued about $160 billion but there’s always some catch-up in those numbers of some companies that are sending a surge of business through. We can’t predict that always as accurately as we like but the current run rate of organic new business in on the order of $140 billion in the US and we thought the first quarter was actually pretty good.
Daniel Baransky – Fox-Pitt Kelton: Okay if I look at the in force book for Asia it seemed like there was fairly large growth sequentially from the fourth quarter, was there any issues around that that we should know about?
Jack Lay: A lot of that relates I’d say a significant amount of that relates to clean up on the part of reported information on the part of our clients. We got a couple of clients in particular cleaned up some of their reporting. It didn’t effect the P&L because its easier for us to – it has been easier for us previously to do a good job estimating what to expect there but it did effect the amount of in force and as a result we had an adjustment to the in force amount.
Daniel Baransky – Fox-Pitt Kelton: Okay and do you have the monetary impact from the higher level of claims in Europe this quarter or an assessment of what you think the impact was?
Greig Woodring: Yes, I guess if you took the three biggest operations, the US was about $0.40 a share over in claims, UK was about $0.10 over and Canada was about $0.10 better. So if the mortality was as expected we’d have probably been about $0.40 a share better. Those are rough numbers but close.
Daniel Baransky – Fox-Pitt Kelton: Okay and can you just give me some a little more detail around what you’re seeing in the US cession rates and Canadian cession rates?
Greig Woodring: The US session rates showed a sequential decrease again in 2007 over 2006. It appears that companies are still slowly retaining more business and ceding less business. Most of our clients we really didn’t see that change last year. In fact RGA’s business was pretty flat which meant a little bit of a market share increase last year. We really haven’t seen in our books and our clients a lot of movement towards increasing retentions and the cession rates are holding pretty much where they were but overall when you look at the market some of the treaties were not on I suspect there’s a little bit more of a retention pick-up by ceding companies. But it seems to be the end of that line. We seem to be holding pretty firmly in most accounts. In Canada the pressure is also for companies to retain a little bit more and there’s some movement in momentum starting to pick up in that direction – cession rates in Canada are still quite high and we do expect them to sort of follow the US lead and begin to moderate a bit. So we wouldn’t be surprised to see cession rates in Canada to come backwards.
Daniel Baransky – Fox-Pitt Kelton: Great thank you.
Operator: Your next question comes from the line of Steven Schwartz – Raymond James
Steven Schwartz – Raymond James: Jack could we quickly just follow-up on the last question on the Asia Pacific in force you said there was a clean up. Do you know how much that added to the number?
Jack Lay: It was in the neighborhood of $30 billion.
Steven Schwartz – Raymond James: Okay great, and then onto a couple of other numbers if we can before bigger issues, interest expense coming from the collateral finance obligation dropped a line in the quarter, anything there? Is that a run rate or did something happen there?
Jack Lay: Well that is variable and it really kind of follows what’s havening with LIBOR so that we got some benefit from short turn rates in that respect.
Steven Schwartz – Raymond James: Okay that’s good and could you touch on policy acquisition costs and other insurance expenses in both US traditional and Europe and South Africa, they looked awfully low.
Jack Lay: Yes the US was lower than our run rate. I think if you look historically a run rate of 14% to 15% is what we would expect. I always caution people when they’re looking at loss rates to look at both claims flow that is benefits as well as changes in the allowance line, the debt line so to speak. It is a little bit lower, part of that relates to reporting, part of that simply relates to DAC adjustments that are a normal part of our business. But don’t expect that ratio to stay at 10% to 11%. I always caution to look at historical rates and I would still advise 14% to 15% is what we would expect going forward.
Steven Schwartz – Raymond James: And how about Europe and South Africa?
Jack Lay: That’s a little bit more difficult to call in terms of what to expect, I would suggest take a look at the historical rates which are typically, they tend to bounce around but low to mid-teens and I’d say that’s what to expect. I think it’s about 9% or so this quarter. If I had to pick a number or a range, I’d say 12% to 13% is more likely.
Steven Schwartz – Raymond James: Okay, and then just onto a bigger picture, obviously we talk about mortality that’s very important, but you had I think some extraordinary growth in your new business assumed internationally even as I tried to back it out on a functional currency basis, I think Canada might have been up some 50%, Europe and South Africa might have been up north of 100%, Asia 80% to 160% something like that if you try to back out the currency effects. Maybe you could talk about what’s going on there because unfortunately that seems to be [hidden] by what’s going on?
Jack Lay: Well we often direct people in terms of new business volume and in particular in force numbers because they tend to bounce around a little bit relative to client reporting. We advise not to draw too many conclusions there. But we do consider it to be a very strong quarter in terms of new business production in the international operations as well as in Canada. You mentioned FX impacts, that certainly helped but even calling that out is very strong.
Greig Woodring: But Steven I think you’ve pointed out something quite interesting. We have been the leading reinsurer of new individual reinsurance in Asia Pacific wide for the last several years according to the consulting firm NNG who’s done some research into this and our numbers show that for example the first quarter grew I think 29% in revenue a premium in Asia. Last year we were in the upper 20s and the year before that we were in the mid to upper 20s and that’s the part of the world where insurance is growing as an industry. Reinsurance is growing along with it and we’re well positioned and certainly taking our share of developing the reinsurance markets in those countries. That provides a very good story line for us as we look forward. The future profitability that we can expect out of the very nice business development coming out of Asia for us is an important part of our story these days.
Steven Schwartz – Raymond James: Just to follow-up on that Greig, I think you mentioned last quarter that you thought that you had a reinsurance product in Japan that could maybe break open that market finally for you but I guess it kind of got stopped up by the FSA. Any new news on that?
Greig Woodring: Well I think the FSA has clarified their rulings. We haven’t actually reopened that reinsurance we have to renegotiate if we want to get that but I think that the Japanese market – we’ve been growing nicely in Japan but waiting for the big breakthrough where the Japanese would begin to use reinsurance more effectively and in bigger amounts and we thought that maybe 2007 would be the first year that that really opened up but it will happen and we keep pushing hard in Japan. There’s a lot of opportunities in the Japanese market for reinsurers to help the ceding companies develop their business and to increase their overall performance so we think that the Japanese market is going to be a really strong one for us in the future.
Steven Schwartz – Raymond James: Okay thank.
Operator: Your next question is a follow-up from the line of Daniel Baransky – Fox-Pitt Kelton
Daniel Baransky – Fox-Pitt Kelton: Just one follow-up question, I’m curious in the Continental Europe what sort of traction or growth are you seeing there this year?
Greig Woodring: On a percentage basis very high; probably 100%, more than 100%. The business is still small but growing nicely since we’re growing from a zero base you’re going to see some nice percentage increases there but it’s not a real big number yet. Out of Continental Europe not counting Spain and the UK where we’ve had operations established for some time, we expect something like $40 million of premium this year. So it’s not a real big number but it’s more than double last year.
Daniel Baransky – Fox-Pitt Kelton: Great, thank you.
Operator: At this time we have no further questions I’ll turn the conference back to management for any closing remarks.
Jack Lay: Thanks to everyone for adjusting their schedules and joining us this morning for the first quarter conference call. With that we’ll end the call and we’re certainly available for any questions that come up if you’d like to call us here in St. Louis. Thank you very much.